Operator: Good morning and thank you for participating in the fourth quarter 2009 earnings call of Melco Crown Entertainment Limited. At this time, all participants are in a listen-only mode. After the call, we will conduct a question-and-answer session. Today’s conference is being recorded. I would now turn the call over to Simon Dewhurst, Executive Vice President and Chief Financial Officer of Melco Crown Entertainment Limited. Please proceed.
Simon Dewhurst: Thank you and good morning. Lawrence, Greg, Ted and Constance are all dialed in from Macau via our conference call link-up this morning. Before we get started, please note that today’s discussion may contain forward-looking statements made under the Safe Harbor provision of Federal Securities laws. Our actual results could different from our anticipated results. Lawrence.
Lawrence Ho: Thanks, Simon. Good morning everyone. I am dialed in from Macau and since the phone lines are not always so clear, I am going to ask Simon to provide a comprehensive overview on some more detail operational matters in a minute, but before I do that I want to reiterate a fundamental point, which is that we’ve taken a long-term view on our business in Macau. Our fourth quarter has been a tough quarter as we work through important changes to our business which we did under the shadow of (inaudible) which had a severe affect on EBITDA. Going forward into 2010, I believe our business is in its best shape yet. We are on a solid positive trajectory with significantly improved mass market trends at City of Dreams and a return to strong rolling chip levels under a more profitable commission environment at Altira. Based on media reports I understand our January market share has rebounded to 16% from 12% in December and we have generated more than US$40 million in EBITDA in the first month of this year. There remains plenty of work to do in the coming quarters, but I’m confident that 2010 will be a great year for us particular given the positive economic outlook in China, the strong political support from both the Macau SAR and the central government and also the geographic advantage that Macau enjoys. I look forward to sharing more with you in the Q&A session, but for now I’ll hand the call back to Simon for more detail comments on the quarter under review. Simon?
Simon Dewhurst: Thanks Lawrence. Shareholders and analysts frequently ask us about two issues, which are considered fundamental to our ongoing development and future success. First, how might we expect to continue to manage Altira following the imposition of the commission cap? And secondly how will we drive material improvement in the mass market numbers at City of Dreams? A bit simplistic perhaps, but we agree that these two issues have been our priority for the past few months. So we concentrate our prepared comments on providing a detailed update for both issues highlighted and we hope to able to share with you the very considerable steps achieved since we last reported. There has been a lot of discussion about our rolling chip operations at Altira recently and so please let me set the record straight. If you recall, we made a strategic decision back in 2007 to make Altira Macau, then known as Crown Macau, a property dedicated almost exclusively to the junket-driven rolling chip business. We teamed up with AMA an aggregator, who was well funded and was able to offer substantial working capital support to a group of junkets. AMA received a commission based on the roll volumes generated by these junkets, in compensation for the provision of its working capital, and the junkets were also paid commission, which was in line with market practice. Most people familiar with Macau today, understand the importance of working capital, and so our unique solution gave us a significant competitive edge, business literally ramped up overnight. I doubt we could have built up anything like a strong following at the property, even with one or two years of timetable. Please remember that Altira Macau is an unknown property located in an area of Macau separate from the then dominant Peninsula. Over the last two years, Ted and the Altira management team have developed deep relationships with all these junket operators and their patrons. Ted and his team have also put Altira Macau certainly on the map of the property of the highest quality. We achieved four, five star awards for both our hotel and spa at the end of 2009, one of the only two properties in Macau to be so recognized. With the implementation of the commission cap on December 1st, last year, it was no longer possible to pay the addition of commission to AMA. The commission cap legislation was the catalyst for us to transition from an outsourced credit provision model, underwriting model to a more traditional business model, where relationships with our junkets are direct. We’re pleased to be able to report that all 12 junkets, which had previously operated under the AMA umbrella signed direct agreement with us and decided to stay at Altira Macau. As you expect, the transition resulted in some disruption to rolling chip levels, during the fourth quarter and this had a material, but non-recurring impact on our EBITDA performance in the reporting period. The transition process started in September 2009, and will complete by the middle of December last year. Rolling chip levels have since rebounded and in January Altira Macau generated 30 billion of turnover exceeding the average monthly load of 25 billion during 2009. Altira Macau earned over US$10 million dollar of EBITDA in the month of January 2010, our best monthly performance of this property since October 2008. Now on to City of Dreams, mass market table drop was essentially flat between October and the seasonally weaker November last year. Drop volume improved by 14% sequentially into December breaking a US $150 million for the first time Mass market home also approved in the fourth quarter, reaching nearly 18% from an average of 15% in the third quarter. We consider mass market home rate improvement to be operational and not market related. The performance of our mass market business steps up again in January of this year. Mass table drop increased 11% sequentially from December to over 170 million for the month and mass table revenue increased 20% sequentially to approximately US $31 million. This is translated into improved profitability at City of Dreams. We generated over US$30 million in EBITDA in January of this year. Now what’s driving this improvement? Of course there is no magic bullet, it comes from a variety of different initiatives and we will outline a few key elements that we believe are behind the improvement in mass market performance at City of Dreams. First, the addition of 800 rooms from the opening of Grand Hyatt in the fourth quarter. Those first room came online at the end of September, the full complements of rooms was not available until the end of last year. We see a strong correlation between selling these rooms and raising our mass market gaming metrics. We expect to see continued improvement as occupancy at Grand Hyatt approaches to 90% plus levels, which we consistently achieve at Crown and Hard Rock. Second, we reconsider the casino floor last quarter and those changes started to bear fruit also. We believe the new layouts improved traffic flows and it led to an increase like supply as well as the more comfortable and importantly and much more exciting gaming atmosphere. As with any casino, there will be future ongoing adjustments to our floor, but not to the same degree as we implemented in the fourth quarter. Third was the re-launch of our marketing campaign at City of Dreams. Our first phase message of Live the Dream was built around that diversity of brands and experiences at the property. And this has now moved onto a second phase campaign, which is more simple and visceral. It delivers the clear message of Let’s Get Lucky and is designed to a single City of Dreams casino brand message. The first phase marketing campaign gave widespread awareness with City of Dreams and the next phase is leading to better conversion of those visitors onto the casino floor. We’ve had a number of minor improvements in the property targeting the mass market gamer over the past quarter. Looking forward, we will open a Kids Club in Maple this month and we previously spoken to the introduction of a night club on the second floor of the property. We’ve committed to transitioning the second floor of City of Dreams into V center of entertainment and night life in Macau, a true Las Vegas style gaming and entertainment experience rising the heart of Cotai. We will make further announcements relating to this over the coming months. I have no expectations homed in the rolling chip segment at both City of Dreams and Altira in the fourth quarter of last quarter was largely to blame for the quarter EBITDA mix. If we normalize fourth quarter EBITDA using 3.85%, the mid point of the commonly expected VIP home range, we would have reported US$56 million of adjusted EBITDA. This leads me on to a discussion on covenants and our plans for refinancing our existing debts. Our first covenant test will take place at the end of the third quarter of this year. It is a trailing 12-month text and we required to meet a maximum leverage ratio of 4.5 times on growth debt. We cannot ignore that this will be a challenge given the impact of weak hold in fourth quarter of 2009. We remain very to refinance our current bank facility, which has served us well during the construction of City of Dreams. Given the current operating performance in our assets and the ongoing strength in the capital market, we remain confident that we will be able to complete the full refinancing sometime in the first half of 2010, ahead of the approaching covenant check date. We’re at an advanced stage of planning for this refinancing with our investment banking advisors and we will most likely wait until our next quarter results are known before proceeding with our plans. We’ll also like to reaffirm that raising equity is not a consideration further this time, as we believe the current EBITDA performance of our portfolio of assets is sufficient to support our current debt load. Now as I normally do, I’ll give some guidance on non-operating line items for the first quarter of 2010. Depreciation and amortization cost is expected to be approximately US$75 million. Net interest expense in the first quarter is expected to be approximately US$20 million. Pre-opening expense will be (technical difficulty) US dollars related entirely to the ongoing pre-production of our House of Dancing Water theater show, which will open to the public in about six months from now. So with that, let’s go to the Q&A. Operator, back to you. Thanks.
Operator: Thank you. (Operator Instructions) Our first question comes from the line of Larry Klatzkin with Chapdelaine. You may proceed.
Larry Klatzkin - Chapdelaine: Couple of questions. One, the numbers at Macau in January were pretty exciting. Any chance the Chinese government gets a little sensitive about hyper, growth and used to and take actions to slow thing’s down again? I mean, I don’t think so, because you’re coming off obviously of a very easy comp, but is there any indications at all as a government?
Lawrence Ho: No, I think at the end of the day, we have a new administration that just recently took over with Dr. Chui Sai On being the new CE, literally a month and a half ago. So, though based on history and our understanding, the national Chinese government will be more supportive of this current government. And usually Chinese policies do take a longer term view. So they don’t look at monthly or even quarterly statistics. They will look at probably one-year or two-year horizon. So, from our standpoint, we certainly think that there is not going to be any measures in the near future. But having said that, Chinese policies, especially national policies are unpredictable, but having said all of that we still think that if you look at a growth rate of 15 to 20% this year, there is probably more of a risk to the upside rather than the downside.
Larry Klatzkin - Chapdelaine: I would agree you with you on that. In January did you guys, the hold you are saying was normal or it was a little bit higher than normal?
Simon Dewhurst: Yeah, this is Simon. The hold at Altira was normal, no adjustment required there. The hold at City of Dreams was a little head of theoretical and so the US$30 million that we have reported for January would need to come back by about five million to bring it in line with theoretical.
Larry Klatzkin - Chapdelaine: All right, I think they are still pretty decent numbers. And can you give us a timing of the remainder openings on City of Dreams?
Lawrence Ho: Sorry Larry it’s going to be, which components are you referring to?
Larry Klatzkin - Chapdelaine: Oh, just the rest of the project, I mean it’s even down to the apartments you are seeing on that. Do you have any feel for timing you are thinking of this stuff?
Lawrence Ho: Well, Larry it’s Lawrence here. I think the next big opening, the Hyatt is fully open now. It took a little while to ramp up, hence not all the room inventory was in the system during part of the fourth quarter. So the next big thing to open for us is really The House of Dancing Water show. That is being directed by Franco Dragone. And of course we have a few more entertainment spots, night clubs and the kids zone that will open progressively. So the kids zone is going to open at Chinese New Year. The night club probably, the season night club Q3, Q3-Q4.
Larry Klatzkin - Chapdelaine: Yes.
Lawrence Ho: So I think by the middle of the year and Q3 the entertainment destination of Macau I think we are going to certainly claim that.
Simon Dewhurst: And the other component just to add would be we’ve got roughly a doubling of the available retail in the properties, at the second stage of that retail will open around June this year. So we’ve got brands fully committed to that component, for (technical difficulty). Another relative retail experience with some of them which have frontage on to the casino floors, so I think there will be a positive same thing casino ambiance as well as an expanded range of retail experiences.
Larry Klatzkin - Chapdelaine: Have you been…
Lawrence Ho: And on the apartment hotel, the site where we have it, I think our focus right now is really to further improve the operating leverage of the business and improve the performance further. As I said there is a lot of potential in room to grow for us, so in the near future I think, in the next two quarters we’re not going to make a decision on it. At the same time, we are keeping a very close eye on what our neighbors are doing. So I think the market is improving in Macau quite a bit and we’ll make that call later on.
Larry Klatzkin - Chapdelaine: All right. So great guys and sounds like the first quarter is going to be an exciting one. Thanks.
Operator: Our next question comes from the line from Cameron McKnight with Buckingham. You may proceed.
Cameron McKnight - Buckingham: Good morning, guys. Just Simon would you mind running us through some of the operating statistics you gave in your prepared remarks again?
Simon Dewhurst: Yes, sure, which ones in particular are you looking for Cameron?
Cameron McKnight - Buckingham: The progression of mass volumes through the fourth quarter into the first quarter at City of Dreams.
Simon Dewhurst: Yeah, no problem. In, October to November was basically flat. November is traditionally or seasonally a slightly weaker month than October. It doesn’t have that, the holiday week in it but we were basically flat and as we stepped up from November into December we saw a 14% uplift and that brought our drop for the whole month up to a little bit north of US$150 million. In [MOP] terms that works out it’s round about 39 million more per day in the property. And then we saw another step up in drop volume into January from December that went up by about another 11% to over 170 million. Of course it’s not just a drop volume, it’s also the whole has been improving over the same period as well. So it’s a combination of the two that delivers through the improvement in the bottom line in revenue terms. So we are now through January we run at about 45 million mass a day of drop, that’s our current run-rate.
Cameron McKnight - Buckingham: Okay, great. I guess your expecting or you’ve seen mass volumes increase through December and into January as the full 800 hotel rooms weren’t opened until the very end of December is that right?
Lawrence Ho: Yes, I mean you’ve had the combination of the property as I talked to of the hotel rooms coming on stream, the effects of the relay of the casino floor and also a light which changed in the way in which our marketing campaign has been working. For anybody on the ground here in Macau or in Hong Kong, they would have seen a very significant outdoor component to the advertising campaigns for City of Dreams. And when that’s done is it helped to turn strong visitation numbers into best of casino penetration numbers and that’s really helping.
Cameron McKnight - Buckingham: Okay, great. And at Altira the twelve junkets that you’ve now got on board as direct partners you’re paying those 1.25%?
Lawrence Ho: Oh yeah, that’s correct. Sorry, go on, Ted.
Ted Chan: Yeah. We pay the junket in the flat rate of 1.25%, or roughly share of 44%.
Cameron McKnight - Buckingham: Okay.
Simon Dewhurst: I’ll just add to that, remember, we’ve got the 12 junket that previously operated under the AMR umbrella, but we’ve always had to buy junkets as a property that were outside of the AMR umbrella, so in total there are 17 junkets operating at Altira.
Cameron McKnight - Buckingham: Okay, great. And you were paying above 1.3% in the fourth quarter and prior quarter, so you should have a bit of margin tailwind there, right?
Simon Dewhurst: That’s what you will see coming through in the EBITDA performance of the property in the first month of this year.
Cameron McKnight - Buckingham: Okay, great. And just finally if I may, Simon, would you mind giving us a little more color on how your discussions with the banks are progressing at a high level and, whether you have drawn from the experience with MGM, Macau had in refinancing bad debt round about a year or year and a half ago?
Simon Dewhurst: Yeah, well, I think that everyone experiences a difference. The MGM deal, they restructured their debt and they went through about six quarters of purchasing relief, against covenants, that’s a very different scenario from where we are. We have put a considerable amount of work into preparing our refinancing, and which you would do in the normal course with the construction loan once you finish building. It’s just that we live in peculiar credit market times, where once you remove the construction risk, you get far less money and pay more coupon for it. And so, we manage our way through that, but we put our preparation in place and I’m very confident that we will be able to replace a debt that has an amortization schedule, starts to kick-in at the end of this year with a tranche facility that will have maturity out between five and eight years. And I expect that we will be able to put that in place during the second quarter of this year.
Operator: Our next question comes from the line of Karen Tang from Deutsche Bank, please proceed.
Karen Tang - Deutsche Bank: Hi, guys. It’s Karen here. Good to hear that you guys are ramping up City of Dreams and Altira in January, four questions. The first one is that, as you mentioned the team at Altira changing of business models to dealing directly with the junket from orders that have been applicable here. You also mentioned that that could have a positive impact on margins, but on the cost side that also means that you name to commit more working capital on that. Can I get some clarity on how much working capital have you provided since the transition and how much more should we expect you to connect. That’s my first question. My second question is, with regard to commission paid as a percentage of rolling versus revenue. The reason why in Q4 you have such a big impact given the negative poll at public that you paid a big proportion of commission as a percentage of rolling instead of revenue. Can we get a sense of that at City of Dreams? My third question is with regard to your balance sheet, I understand that you have a shareholder loans that is opposed to be repayable middle of this year with the shareholder loan to be extended now. And finally, Singapore opening, we all are trying to gauge direct VIP played of all the casino operated in Macau who came from South Asia, so can you give us a breakdown for your direct and non-direct played from players in South Asia? Thanks.
Lawrence Ho: Simon, can you handle the first one?
Simon Dewhurst: Yeah, I will do that Lawrence and let’s hope that we can remember what the other three were as we go through it. So on your first question Karen working capital provided and it’s already more. You are absolutely correct. We extended CCS support to the junkets that we’re previously supported with outsourced credit under the AMA umbrella when they came in to direct agreement with us effective from the 1st of December of last year. The effect of that was that we extended about HK$525 million of working capital support. If you take that together with the other market receivables that we got in our balance sheet net of the provision that were set against it and you can see this information what we published. It means that we now have market receivables of about US$300 million sitting in the balance sheet. If you deduct from that the outstanding chip liability, about US$180 million, which is just chips would have been less as they sit within the system and so there is no credit exposure component there, and it’s around about a US$120 million, of which about US$20 million is with direct customers and US$100 million is our combined exposure across 29 junkets in two properties. If you look at that in terms of what does that represent on a multiple of the commissions that we pay every month, where its round about 1.2 times monthly commission at City of Dreams and round about 1.5 times monthly commission at Altira and we think that that is towards the low-end of working capital provision in the Macau market currently.
Lawrence Ho: Karen this is Lawrence. Your last question which is the Singapore question first. I think we together with most of our fellow competitors in Macau believe that, Singapore’s impact on Macau will be probably minimal, because at the end of the day the Macau market benefits from a great geographical location with China as a major backstop and support. I think, so on the mass business and the Chinese VIP business, I think it’s going to be a minimal impact. I think the impact might come a little bit from the premium direct players from Southeast Asia, because obviously Singapore will become a much easier assessable location for them. But even then we think we can back fill, some of that business, with junket-led Southeastern Asian players in due course. So again, we think the impact is minimal. On your second question Karen what, on the City of Dreams revenue share versus commission question, can you repeat that one?
Karen Tang - Deutsche Bank: Sure. At City of Dreams of number of junkets that you have there, roughly how many of them are paid as a percentage of rolling and which I suppose is 1.25% and how many of those are paid as a percentage of revenue, because that would have a different impact on your EBITDA line if you have a negative --?
Simon Dewhurst: Lawrence I’ve got that data here with me. We are at 70% of our roll volumes at City of Dreams is being run on commission based model and approximately 30% is being done on the revenue share model Karen. That obviously ignores the fact that we’re still doing around about 17% of our roll volumes at City of Dreams direct. To your first question you asked whether we’ll be providing anymore CCS going forward? We’re comfortable that we’ve got right amount of CCS extended to our junkets, already represents less than 20% of the total working capital that they are operating with across most property. So I don’t expect to see any material increase in the amount CCS that we have extended. And then finally to your third question, is without the shareholder loan. That shareholder loan has been rolled via shareholders since the time of the IPO. It is still due more than 12 months if I am correct as at the end of the year balance sheet date. So it doesn’t fall due mid this current year, and we will continue to roll it, hold it out beyond 12 months for so long as that is the appropriate thing to do.
Karen Tang - Deutsche Bank: Excellent. Thank you very much. So Simon, you mentioned that at the end, your CCS implies that City of Dream is 1.2 month or for monthly commissioned, and Altira, was it 1.5?
Simon Dewhurst: That’s about right, Karen, yes.
Lawrence Ho: The difference between the two, obviously recognizes the fact that City of Dreams has got about 20% of its business being done direct account.
Operator: Our next question comes from the line of Carlo Santarelli with JPMorgan. Please proceed.
Carlo Santarelli - JPMorgan: Thanks. Both of my questions have been answered, but I did have just two quick ones. I see guys were refunded due deposit on the Peninsula side. Is that in this quarter’s numbers?
Unidentified Company Representative: The cash refund payment just before the end of December, and so therefore, that cash is in here.
Carlo Santarelli - JPMorgan: And that was about 13 million, is that correct?
Unidentified Company Representative: US$12 million.
Carlo Santarelli - JPMorgan: Okay. Thanks. And obviously, there’s been a lot of chatter in the press recently. I was wondering if maybe you guys could comment on some of the news about possibly speaking with the government about some strategic initiatives?
Lawrence Ho: Carlo, this is Lawrence here, can you be more specific?
Carlo Santarelli - JPMorgan: Obviously there has been a lot of commentary and color around possibly a US based operator looking to buy a stake into your company and some have actually come out and said that the new Chief Executive has been speaking with his attorneys and to study of possible transfers. Is there anything you guys could possibly say about that?
Lawrence Ho: Yes, sure. I think from our perspective its total nonsense. We’ve both James and myself and the management have really come this far and we see a lot of potential growth trends and the business is ramping up very, very nicely. So, I think it’s really nonsense all the rumors that we have heard.
Operator: Our next question comes from the line of Dennis Forst with KeyBanc. Please proceed.
Dennis Forst - KeyBanc: Yes, good morning or evening for you. I wanted to ask a number of questions. Can you give us an idea of the rolling hold by property in the fourth quarter were they similar both have low hold or was it more tied to one property.
Simon Dewhurst: Yes, our rolling hold of both properties was actually pretty much identical around about 2.45%.
Dennis Forst - KeyBanc: Okay. And then in January you had about 16% market share I think Ted said.
Simon Dewhurst: Yes, according to reports that came out today that’s correct, yes.
Dennis Forst - KeyBanc: Okay and that compares to around 11% a year ago.
Simon Dewhurst: No it compares to around about 11% in December of last year. So it’s a sequential change.
Dennis Forst - KeyBanc: Okay, but wasn’t it about 11% in January of last year also.
Simon Dewhurst: You are stretching my recollection.
Dennis Forst - KeyBanc: Okay well.
Simon Dewhurst: But of course January of last year we didn’t we only had one property…
Dennis Forst - KeyBanc: Yes, one property.
Simon Dewhurst: …and here we have two.
Dennis Forst - KeyBanc: I have seen the SJM market share number was up, your market share number was up, Las Vegas Sands was about the same. Do you have feel who lost substantial market share because there was material change?
Simon Dewhurst: I am sure that these things move around every month and I am sure that it will sell-side analysts who will be selling some reports tomorrow morning on what those numbers are?
Dennis Forst - KeyBanc: Okay. Then next question was about paying down debt. Are you in a position to reduce your debt at all this year or will capital expenditures eat up all the free cash flow?
Simon Dewhurst: We could if you wanted to stick with our existing facility and move into a repayment program on it as it sets up in the amortization schedule. We have the ability to be able to do that. That’s not what we would choose to do. We are happy with the debt to equity mix that we have in the capital structure of the company. What we need to do is we need to take out a construction loan that was secured three years ago and is coming to the end of its life and replace it with new five to eight-year money and that is the refinancing exercise that I spoke to earlier on and I expect that we will have that completed before the end of the second quarter of this year.
Dennis Forst - KeyBanc: Okay. And then lastly it was garbled when you are giving the guidance, the pre-opening number for the first quarter was audible. Can you give us that again?
Simon Dewhurst: Yeah, I am sorry. It’s a small number. It’s about US$5 million and it relates solely to the production show that we will be launching at City of Dream, the water-based show that will open to the public in about six month from now.
Operator: Our next question comes from the line of Anil Daswani with Citigroup. Please proceed.
Anil Daswani - Citigroup: Hey, good evening guys and congratulations on a great January. I have three questions. First of all could you comment a little bit on what the interest expense will look like or what the cost of debt will look like once you restructure, is there any internal plan as what additional interest expense would be required as you move off the construction based loan on to whatever, route you guys do? That’s question number one. Question number two, could you talk a little bit about what happens to the cost phase at the City of Dreams once the show opens. I understand the costs would probably go up a little bit after that opening or are there any plans to offset that by some cost cutting at City of Dreams? That’s the second one. And thirdly, is this the marketing campaign that you guys are going to be sticking with going forward or you know we’ve seen two very, very different campaigns and you mentioned this Simon, as Phase 1, Phase 2. Is there a Phase 3 lined up or is this the right track for you guys going forward?
Simon Dewhurst: Okay. I’ll take your first question and then I’ll comment on your second question I’m going to bounce the marketing campaign discussion over to Greg in Macau. So on the first question of the interest expense, we currently have a facility which is costing us around US$20 million a quarter in interest expenses, that includes not just the interest costs that we pay to the banks under the facility, but also the hedging costs that we were required to take out of the time that we drew the facility when interest rates were much higher than they are today. We have looked very carefully at the composition of the refinancing. It will have various parts to it, a bank debt component, probably a high-yield component as well, and so there will be different interest rate. In the process of replacing our debt, we are looking to try and achieve a net outcome in terms of interest cost, which doesn’t increase our overall annualized costs by much of toll if anything. So, that is the intent. Ultimately, we have lived in and we continue to live in a very low yielding environment where debt is a very, very cheap form of capital and we will look to try and take advantage of the current environment in order to lock in some five, to eight year money that allows us to continue to benefit from that for many years to come. On the second question of cost basis City of Dreams, when the show comes on stream, we will be adding somewhere around about US$100,000 of incremental daily cost, but you should settle against the purely incremental revenues that we’ll get from tickets sales based on our early forecast around that, we think that it will be a wash. So pre-show, post-show, you won’t see any net change in our EBITDA performance of the property vis-à-vis, just the addition of the show, where we feel very confident is that by bringing the show on-stream, you will see it’s not going to affecting to the broader property and the gaming revenues that are seeing that wrong. I need to pass the question of marketing over to Greg.
Greg Hawkins: Good question. I think if we look at the phases of marketing for the property, clearly the initial phase was about introducing, particularly the diversity of the brands actually you are drawing into the core markets. And part of that direction, most of the site changes around the most effective ways to position awareness for those brands and amenities into Mainland China where it is obviously restrictions on advertising, so we felt that was the most effective wide progressed with the introductory awareness. As you’re seeing over the last eight to 10 weeks, what we have done now, we sort of moved away from that as a complementing approach much more to stronger awareness around casino participation. And that’s really clearly about driving bowling activity into gaming locations within the property, so probably moving from a strategic position into one which is far more technically base. As we look across 2010, a continuation of a very strong focus on casino participation drawing visitation, but at the same time ensuring that penetration and conversion rate of that broad visitation into the properties is very much continued in line with optimizing EBITDA across 2010. What you will see probably towards the last quarter that 2010 is probably another subtle complementing adjustment and so continuing with the casino theme but as we bring in some of the capital projects that we’ve touched on before, you will see more of an entertainment positioning being built into some of their broader advertising strategy as areas, night clubs, hard rock café and a few other amenities, which we have in the pipeline will come into stream in areas of the property. So that’s a general approach across 2010.
Anil Daswani - Citigroup: Sorry. And one follow-up, you guys mentioned in January of 30 billion of roll at Altira. Can we get a similar number for COD, please?
Simon Dewhurst: Yeah, the roll in January at COD was about 28 billion.
Operator: Our next question comes form the line of Grant Chum with UBS. Please proceed.
Grant Chum - UBS: Good evening, first question, probably for Simon, just looking at the cash balance going from 686 million at the end of Q3 to 449 is quite a big reduction between end of Q3 and Q4. I think at the time of Q3, you said there was about 100 million of cash offer in CapEx in Q4. I mean, firstly can you just confirm that that’s the right number as it turned out and is the rest of the cash reduction attributable to working capital? That’s my first question.
Unidentified Company Representative: Yeah. We actually were able to close out and settle down a little bit more cash than I forecast for the fourth quarter. It’s round about 120 million on closing out project costs at City of Dreams. First, we get that done but last two week we shutdown the project office and get some cost savings into the business. The remainder of the reduction that you see in cash is because it gets absorbed into the working capital in the business as wee first see CF out into the property, so what I talk to on Karen’s questions folding and explained that other portion.
Grant Chum - UBS: And is that also the case of City of Dreams that incrementally Q4 also an increase in the working capital in that property versus Q3?
Unidentified Company Representative: Yeah, City of Dreams is still very young as a property. At the start of Q4, it has only been open for four months. It’s also growing its volumes from Q4 as against Q3 and it has a very strong very healthy direct component to its business, which inevitably in some portion has longer prepayment cycles attached to it. So you’re always going to see in a property like City of Dreams, some expansion in the overall working capital it’s required to continue operate the property. And you’ve seen a little bit of that from Q3 to Q4 probably US$20 million or there about.
Grant Chum - UBS: Okay. And just for sake of completeness, on the split between revenue share and commission on volume, can you just give that split for the Altira property, as well as City of Dreams?
Unidentified Company Representative: Yes, at Altira we run about 80% on commission based volume and about 20% of our role is done through junket, so at any point in time choose to opt to get paid on revenue share. And quite frankly that mix between commission and revenue share has stayed stable at Altira for as longer as I can remember.
Grant Chum - UBS: Great. And just final question maybe one for Greg. On the hotels in City of Dreams, and now that Grand Hyatt is fully opened, can you just give us a rough sense in terms of the occupied rooms across the three hotels, what’s the relative proportion going to VIP, mass market casino and non-casino?
Greg Hawkins: Sure. More recently as far as broad guideline Grand Hyatt was tracking close to 90%, of which about 90% of that is they are pay clientele. Hard Rock consistently 97, 98% so that really runs as a full operating hotel. Currently about 50% of that is mass casino program related, so the other half is driven by sort of broad based retail, it’s like tuning down package elements. High, it’s still in its evolutionary stage, and I guess coming to a greater number of available rooms, but if you look at some of the more recent results in January, sitting at around that 70% occupancy mark of available rooms of which at this stage about half of those are being absorbed through casino program use as well. So I think the key outtake from that is that we see the ability to drive more broad retail business into highest as a key element of growth over the next quarter, so we’re working very closely with them to access their inbound retail channels as well to make sure we get that property up to 90% ASAP.
Operator: Our next question comes from the line of David Bain with Sterne, Agee. Please proceed.
David Bain - Sterne, Agee: Thank you. Can you give us a census for the trajectory of the database volume at City of Dreams. I think you were at 100,000 names at the end of September?
Unidentified Company Representative: Yes. Obviously, a very important element of that growth plan, so from that number you quoted, a roughly doubled the number of members in our loyalty database.
David Bain - Sterne, Agee: Okay, great. And then, as you guys know, China has announced a proposed tightening of credit, and our junket contacts are saying their credit system works on different metrics, but can you give us your sense on credit currently, and how it may differ longer term? I guess what I’m trying to ask is, if you expect China’s bank policy to have an impact in your longer term?
Lawrence Ho: David, its Lawrence here. I think we talked about a little bit earlier on, but I think the monetary tightening is probably going to affect the Chinese property market first and foremost. And it will have a delayed effect, if any to trickle down to effectively its consumers sector in Macau. In any ways, I think Chinese qualities, you know I think there is the [Jury] is still out in terms of what will impact Chinese policy has had on Macau, growth gaming revenue in the past few years anyways. So I think all in all, the current monetary tightening will take some time before it even trickles to Macau.
Operator: Our next question comes from the line of Praveen Choudhary with Morgan Stanley, please proceed.
Praveen Choudhary - Morgan Stanley : Hi, guys. Thank you very much. Most of my questions have been answered. Just one question, most of the time guys you have lower hope at least in future, at least in Q3 and Q4 we saw on a VIP basis. I am just wondering that can you just pinpoint on why that happens when everybody else has a better home.
Unidentified Company Representative: Praveen, this is Simon. You are very tight for us. I suspect, you might have been safe for others. You will question, if I got it correctly could we comment on our historic hold rights for that two properties given the perfection of we hold low as a company. Let me just give some color to that. First of all, let’s just state the facts rather than working on fiction. Life-to-date since we opened the Altira property it was held at 3.71% through to the end of January of this year. Life-to-date since we opened City of Dreams is held at 2.8% till the end of January of this year. But we have always argued that the whole rate long term in Macau is somewhere between 3.7 and 3%. I grant you we are at the bottom end of that range and I also recognize that there are other properties that push out whole right numbers that sit at the top end of that range. I do think that there are accounting differences between the way in which different operators report their tables performance and that that can have an impact on the denominator and therefore impact on the whole number. There are also people who look to government statistics rather than operator statistics which exclude direct play and that also causes property to property variances that need to be adjusted out. And we don’t feel that there is anything structurally wrong with our operations with either of our two properties and we have to send a sequence of three quarters of low hold at Altira and we know that that is no different from what our partners Crown feel that their property in Melbourne if they look back over the last ten years and we announced looking forward to having three quarters where properties sorting itself out on the long run basis. So, that’s really I think all that we can do in terms of commenting on it right now and we will continue to report against our actuals.
Praveen Choudhary - Morgan Stanley : Thanks very much for clarification. I understand Simon and I think compares with lower hold rate, but I don’t find any other concessionary or any other company giving us different EBITDA number based on theoretical probably because their hold rate has also been okay. So, what I’ am trying to understand is that why are you guys holding so little for the last three quarters and I understand its again luck factor. And your changes in January could it sustain? Are you doing anything that you could on your capacity to move into a program which other concessionaries are doing or anything that is in your hand?
Unidentified Company Representative: No, I understand the question, you are asking whether we can change the luck for this (inaudible) table whether there are any operational tricks which can affect the outcome of how a player plays and how a table turns out. And I think the honest answer to that is that there is nothing that we can do to affect that. Players play in certain pattern and we all know in this industry that luck pattern can run over very considerable period of time, quarters to years. So we don’t see that there is anything that is outside of statistical expectation. We have some of the world’s best experts looking at this. We’ve got solid systems as they monitor it that are externally provided to us. We go through all of the necessary checks with balances. So it is what it is and we will continue to monitor as we go forward.
Praveen Choudhary - Morgan Stanley : Okay perfect. Thank you very much. And I hope that January turn out for good. Thank you.
Unidentified Company Representative: Thanks Praveen.
Operator: Our next question comes from the line of [Justin Kuack] with Goldman Sachs. Please proceed.
Justin Kuack - Goldman Sachs : Hi. A lot of questions have been answered. But I guess I have one quick follow-up on the COD. On the COD do you mind if share a bit more on the reconfiguration you had mentioned on the second floor where you are thinking to introduce night club? What sort of impact we should expect and what sort of CapEx we should expect for this sort of reconfiguration? And on the broader based question, after the 1.25 cap do you mind comment a bit on the competition among junket and especially on the competition amongst junkets; what are against your sort of direct VIP business, what sort of going forward that you see this sort of competition is going to be, especially when you said you are now running about 17% of the direct VIP in COD. Thanks.
Simon Dewhurst: Hey, Greg, you want to…
Greg Hawkins: Sure. In terms of the Level 2 space, yeah, as we have looked at growth focus from a management team perspective, is that initial state we’ve clearly been predominantly looking at some of the layout product and performance issues on Level 1. As we move to Level 2, we see the Hard Rock Casino there really becoming the hub of a precinct that will evolve over time incorporating a number of branded and have a popular club gaming oriented experiences, which we’ll advise further as we progress. Obviously in this market, we are trying to look at partnerships with those who have reputable international brands where the partner will provide the majority of the capital into the project. So, as we announce some of these publically, I’d expect a couple of them to be provided for from the operator perspective and a couple of others would be from a branded point of view the capital will be provided to us. So we’re looking at number of different models. So the general logic is that we parade an entertainment style hub on Level 2, which is centered around the Hard Rock Casino to optimize the performance of that area. A Hard Rock brand casino we’re already up there, as you would expect sort of optimizes the weekends, enjoying the evening, so we also have a number of different flexible wise, which you want to consider to drive volumes and utilization into that space during day time periods as well. So we’ve announced some of those that range from a family-oriented destination which is more of a daytime to club style, non-club style and then some expansion of Hard Rock Café and a number of other brands, who we’re in discussion with at the moment, so we advise more on and lock away a number of those deals over the next six to eight weeks?
Justin Kuack - Goldman Sachs : The competitive landscape shows the 1.25 cap is that fixed as everyone is now competing on sort of same level or sort of what’s your view on the competition and among the junket and also your sort of direct VIP going forward because now you…
Unidentified Company Representative: Well and my comment to that is that it has been remarkable only in as much as it seems that the market predicted that the implementation of the commission cap would cause for some sort of musical chairs amongst all of the properties and where as in fact we have a very stable market post the cap which I think is how most of the operators expected at the outcome to be. We’re all playing on a level, cost structure playing field and so that is not going to be a catalyst for rapid or random movement of operations from one corner of the market to another.
Justin Kuack - Goldman Sachs : Yes, just a follow-up what about the share of direct VIP going forward in your view?
Unidentified Company Representative: The City of Dreams continues to punch well. There are only really a couple of properties in Macau that are able to service the real VIP customers, the direct customer and City of Dreams is one of those properties. It has been from the date that it opened. I mentioned earlier that we are still doing about 17% of our total roll volumes in direct play of that property and we will certainly be crafting our international marketing team and their network that runs right across the region to continue to deliver that volume or that relative measure of performance into the property over the course of the coming quarters.
Operator: Our next question comes from the line of Shaun Kelley from Bank of America-Merrill Lynch. Please proceed.
Shaun Kelley - Bank of America-Merrill Lynch: Hi, thank you very much. Just one quick follow-up on the working capital question, Simon. Could you just give us a little bit color on for the accounts receivable, is there going to be an increase there through the end of January, and should we look for that to be a little bit higher at the end of the first quarter or is the end of year balance pretty reflective of the transition of the [Amax] business? Thanks.
Simon Dewhurst: Yeah. Thanks, Shaun. The transition is done, so what you can see at the end of December is a very fair reflection of what I would anticipate you would see at the end of March, certainly, as I look at my balance sheet at end of January, nothing has changed. In fact if anything has come down slightly. So, yes, I think that we are at status quo at the current level. Okay, I think that we are going to close the call up there, operator. And as we said at the start of the call today, with hindsight we feel the quarter for 2009 should be remembered not as the quarter with full hold, but the quarter below consensus earnings, but as the quarter when we successfully executed on some major operation improvement to that property. We look forward to reporting back to everyone in another three month’s time, and we’d especially like to thank you for your questions and for listening in on our conference call today, and good morning.
Operator: Thank you for joining today’s conference. You may now disconnect. Good day.